Operator: Ladies and gentlemen, thank you for standing by. Welcome to FutureFuel 2013 First Quarter Conference Call. At this time, all participants are in a listen-only mode. Following management’s prepared remarks, we will hold a question-and-answer session. (Operator Instructions) As a reminder, this conference call is being recorded today, May 8, 2013. I’d now like to turn the call over to Mr. Lee Mikles, President of FutureFuel Corp. Please go ahead, sir.
Lee E. Mikles: Good morning. This is Lee Mikles from FutureFuel. Thank you for participating in today’s call to discuss FutureFuel’s 2013 first quarter financial results and business progress. Joining me from FutureFuel today is, Chris Schmitt, our Chief Financial Officer, and Rose Sparks, our Principal Financial Officer. I would like to remind the listeners that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These forward-looking statements include risks and uncertainties that could cause the actual results to be materially different from any anticipated results. For a list and description of these risks and uncertainties, please review FutureFuel’s filings with the Securities and Exchange Commission. Please note that the content of this call contains time sensitive information that is accurate only as of today May 8, 2013. FutureFuel disclaims any intention or obligation to update or revise any financial projections or forward-looking statements whether as a result of new information, future events or otherwise. With that out of the way, I would like to turn our attention to the first quarter results. We had very solid first quarter financial performance, revenues were up 8% to $92.2 million versus the first quarter of 2012. Our adjusted EBITDA totaled $18 million, up 7%. Our net income increased to $14 million, or $0.33 of diluted share versus $7 million or $0.17 of diluted share. Rose will walk us through these details, and Chris and I will be available for questions afterwards, as well as Rose. Rose, go ahead please.
Rose M. Sparks: Thank you, Lee, and welcome everyone to today’s call. For the first quarter, revenue was up 8% to $92.2 million versus $85.7 million for the first quarter of 2012. Biofuel revenues increased 10% to $52 million as compared to $47.3 million in the first quarter of 2012. Demand was stronger in the first quarter of 2013 with the reinstatement of the dollar blenders' credit along with the increased government mandated renewable fuel standard for 2013 of 1.28 billion gallons of biodiesel. Chemical revenues increased 4% to $40.5 million, up from $38.4 million in the first quarter of 2012. Revenues increased for the following chemicals; proprietary herbicide and intermediates was up 16%. This increase was equally attributed to increased sale price and change in product mix. The industrial intermediate utilized in the antimicrobial industry was up 20% on higher sales volumes. Other custom chemicals was up 10% also on our sales volumes in addition to a couple of newly acquired products, which are campaigned in the batch plant. CPOs was up 9% on higher sales volume slightly offsetting these was DIPB, down 14% on lower sales volumes, and other performance chemicals was down 11% due to a shift in the orders of campaign products. Revenues from the bleach activator were consistent with those from the same period last year. Turning to gross profit, Biofuels segment increased to $8.3 million from $1.1 million in the first quarter of 2012. This segment was benefited by the reinstatement and recognition of the 2012 blenders’ credit for $2.5 million recognized as a reduction in cost of goods sold in the first quarter of 2013, the same period it was signed into law.. As discussed in the past, gains and losses on derivative instruments and cog their ability in our financial results due to the timing of the change in value of derivative instruments, relative to the sale of the biofuel being sold. Hedging gains for the first quarter 2013 totaled $1.3 million as compared to a loss of $3.4 million in the first quarter of 2012. Chemical segment gross profit increased 12% to $13.1 million as compared to a $11.7 million for the first quarter of 2012. This increase was largely a result of price adjustments on existing chemical products, continued production process improvements, and minimize operating expenditures. Income from operations increased to $19 million from $10.6 million in the first quarter of 2012. Net income increased from $7.1 million or $0.17 per diluted share in the first quarter of 2012, as compared to $14.1 million or $0.33 per diluted share from the first quarter of 2013. After-tax non-recurring items recognized in the first quarter of 2013 delighted to 2012 activity, which increased net income included the 2012 blenders’ credits, totaling $1.6 million the benefit from the small ag oil biodiesel producers credit, totaling $1.1 million and both of these credits are set to expire at end of this year December 31, 2013. Further benefiting net income were net realized and unrealized gains on derivative instruments. On an after-tax basis, net income increased $0.8 million, as compared to after-tax net loss of $2.3 million in the first quarter of 2012. Adjusted EBITDA was $17.7 million versus $16.6 million for the first quarter of 2012. And Lee with that, I will turn the call back over to you.
Lee E. Mikles: Thank you, Rose. That was terrific. I’d like to discuss some generalities, kind of the progress of our business and we can get a specific as any callers would like in the Q&A. First, in the bleach activator, we continued to evaluate and run trial material and are actively sending those samples to potential customers. So, that is an important initiative for us in 2013. Our comments about select, although selector is now under 10%, that was a previously disclosed customer as the callers will recognize we did cancel that contract and it runs out in September and October. We continue to work with that customer while continuing the business relationship with them and possibly a new contract we don’t really know. But we are pursuing new business for those batch plant reactors and we’re hopeful to have a place since for those if need be. The graphite anode material for the lithium-ion battery, we don’t see any commercial sales in 2013. That’s our customers’ expectation at this time. That’s not a big change, but I just wanted to reinforce that point. Biodiesel, obviously with the reinstatement of the dollar credit, it’s a different world now than it was as we operated in 2012. I would point out that the RIN value that we have, it’s available for three of the four categories for the 2013 Renewable Fuel Standard mandate, which is interesting given that ethanol seems to be up against its blend wall, so it’s going to be very hard for some of those people to achieve their win volumes, since they are going to be required. And I think that I’d like to reiterate on this call to all investors and analysts is that we hold to our strategy and remain very selective in looking at acquisitions. It’s not something that we take lightly and it’s something that we pursue everyday both on the chemical side and on the biodiesel side, but I think one who is familiar with our story in the past, that we take a very disciplined approach to investing our capital, that hasn’t changed and I think we’ll continue to evaluate acquisition candidates as we are currently and will in the future. So I think that remains in place, and I think we view a business opportunity on the biodiesel side and on the chemical side, to go through acquisitions in addition to organic growth at our existing facility. I like to make a final comment about some organizational changes that we announced today. First, David Baker, who has been instrumental in the transition as this company took possession of the facility some 6.5 years ago, David has been a wonderful executive for us. We wish him well in his retirement and just as a side note, as a personal note, David is a true gentleman and he is fabulous person and we wish him well. We also announced today the effective June 1 that Rose Sparks will be the new Chief Financial Officer, and I am very excited to have Rose in that position. Rose has been with the predecessor company and our company for over 20 years, and she is a CPA by background, but I will assure everybody and I think everybody from our company on this call would agree, there is no one who knows the ins and outs of our production facility the way Rose does on the all the SKUs and all the imports, all the feed stocks that we use. So we are very excited to have Rose take over Jim first in that position. She is well-qualified and well-groomed to take over on a seamless basis. And finally, Chris Schmitt, Chris has been a wonderful Chief Financial Officer for us for the time that we’ve had him. He came over from Tony Deville’s Apex organization, Chairman and CEO. We always knew that we will lose Chris back to Apex at some point. So it wasn’t unexpected, and we got plenty of time to get ready for that transition. And we know that we will be speaking and working with Chris in the future on projects and we wish him well. And we know that he will have a wonderful experience going back to Apex, but I want to thank Chris for his time. I think the shareholders were significantly benefited by having their time with him. There is one question before we get into the Q&A that I’ll just head off before – and has to do with our lower tax rate, and that’s simply an effect of there are two types of credits. There is a producer credit and blender credit. The blender credit is a dollar a gallon and the producer credit is a small producer credit, which was mentioned before was, I believe 1.1 million Rose, is that right after-tax?
Rose M. Sparks: Correct.
Lee E. Mikles: And that comes through as an effective blow in the tax rate. So that’s why you see 30% roughly tax rate in this quarter where we have been a fully tax payer otherwise. So I just wanted to hit that one-off before it starts. And with that, I’d open the call to questions Operator?
Operator: Thank you. (Operator Instructions) One moment please for our first question.
Lee E. Mikles: Give you as a final comment before we get the first question underway. I get constantly ask about RIN values, Renewable Identification values, because it has a more or less a direct impact on ours and others profitability. And we saw dramatic decline in those values in the fourth quarter. The 2013 RIN values my recollection is around January 1 is roughly $0.65, we saw those as high as I think $1.07 roughly. And so they advance quite a bit. This morning, they’re roughly $0.95. So they’re up dramatically since the fourth quarter, but again, there is quite a bit of volatility in that that goes that speaks to the question of the required usage of 1.26 billion gallons of fuel. So that number balances all over, but it’s up quite a bit from the fourth quarter, so that gives you an idea of the range. Thank you.
Operator: Thank you. Our first question comes from Jon Tanwanteng of CJS Securities. Your line is now open.
Jonathan Tanwanteng – CJS Securities: Hey, guys, very nice quarter. So my first question is going to be on the RINs, unfortunately. Can you talk about the biodiesel fundamentals heading into Q2 and beyond? And given what you’re hearing on, I guess, 2013 industry production, do you expect RIN values to remain strong and also have a feedstock prices spread?
Unidentified Company Representative : I, again, Chris, please dive in here anytime you’d like. My view, I guess, our view currently is that the industry without the large integrated producers that would be the ADMs, the Cargills, the Bunges of the world. There isn’t a heck of a lot of excess capacity over the, what I call, competitive capacity over and above the 1.26, and I think that when prices more or less reflect that, the firmness in the rent prices and a little bit of this grab, if you will from the ethanol issue, where they can come over and grab the more expensive but at least they can grab a rent from our side. So my anticipation is that when values would, and again, subject to change, Jon, is that it will be relatively firm markets the way it looks today and that can change. I will tell you I think the industry is trying to run at as flat out as you will think that they would given the dollar credit is back in place, and given that we’re in the seasonally strong period, which is the second and third quarter as you’re aware. So that feedstocks, with the firmness in the soy prices, again, we use the lower valued feedstocks, so I think there continues to be a view that they’ll be – it’ll be a relatively good year for biodiesel subject to change. Chris, any comments on that?
Christopher Schmitt: No, I mean, I think we touched on earlier in the fact that the biodiesel RINs can be used to meet other sub-mandates of the RFS2 Standard. So I think that gives some reason to be optimistic on RIN prices, and I think that the market is speaking right now that, and it’s forecasting good prices for RIN for biodiesel. Having said that, it’s all blanketed in some of the uncertainty around government regulation, so as you said, it’s all subject to change. Right now, the market seems to be saying that RIN prices are firm and hopefully will remain so going forward.
Jonathan Tanwanteng – CJS Securities: Got it. Thanks. And then, I guess, for you guys internally, is there more urgency to increase production given how favorable environment is?
Unidentified Company Representative: Well, again, we would always have an urgency when the markets firm to increase production. But again, that’s an operational issue and operational constraints to it. So I don’t see us building out additional capacity in the short-term, again, subject to change Jon. But it’s really making sure that from a manufacturing perspective that we max out the capacity that we have in place.
Jonathan Tanwanteng – CJS Securities: Okay. Got it. And then, given the environment, I know it effects your M&A outlook. Are you focusing more now on the chemical side and would you possibly consider additional, I guess, special dividend that we can find a suitable target say over the next 12 months or so?
Unidentified Company Representative: The dividend issue is a Board issue, so I really can’t speak of that, but again, it’s our home pitch, we’ll be able to find the right acquisition candidates whether it’d be on the product side or on the plant equipment side or expansion of our existing site. So again, I think the highest and best use, given the really strong balance sheet that we continue to have, it looks like $160 million roughly of cash, and that’s after spending $65 million, $66 million in dividends last year. So we continue to have a terrific balance sheet. The cash flow characteristics of the business are very strong. So it would lead one to think that we would have an advantage position when looking at acquisitions, given our balance sheet strength and our operational capability, so that would be the highest in best years, but in terms of additional onetime dividends, I can’t speak to that, that’s Board decision.
Jonathan Tanwanteng – CJS Securities: Okay, got it. And one more; can you talk a little bit about the strength in chemicals, was that a onetime or a seasonal bump and is that kind of run rate or margin sustainable throughout the year?
Unidentified Company Representative :  The margin is very good. [Christian] you talk about kind of the run rate of that business and without giving forecast?
Unidentified Company Representative : Yeah, we really can’t give forecast and well, we don’t give forecast for the business as a whole, but keep in mind, custom chemical business is almost by definition unique. So future margins will depend heavily upon our customer demands in the future product that comes through particularly at plant site. The margin were currently strong in the first quarter and we talked a little bit about that in our MD&A and there is a few different factors impacting those margin percentages, one of which is some of our contract have pricing adjustments or in certain instances we are able to make pricing adjustments to customers, but when their volumes go down or able to adjust our prices to help protect itself. That will roll into an impact from gross margin percentages that you are seeing in the disclosures. We mentioned in that MD&A and in our Q, so that’s an impact and that’s something need to be factored in. Additionally, we continue to monitor our cost here. We try to minimize the cost as best we can and we try to ease out whatever production process improvements we can. That will help the margins as well, but as I think we discussed in the Q, a pretty good chunk of the margins are also relate the price adjustments that we have been able to adjust for with certain of our customers.
Jonathan Tanwanteng – CJS Securities: Okay, thank you very much guys.
Unidentified Company Representative :  Thank you, John.
Operator:  Thank you. (Operator Instructions) Our next question comes from Craig Irwin of Wedbush Securities. Your line is now open.
Craig Irwin - Wedbush Securities: Good morning. Congratulations on a strong quarter.
Unidentified Company Representative: Good morning, Craig.
Craig Irwin - Wedbush Securities: Just a follow-on the theme of margins in the chemical segment, did you receive payment under (inaudible) paid for your (inaudible) production contract this quarter and can you remind us when that payment will most likely be made if you were to receive it cash this year?
Unidentified Company Representative: Yeah, and again, correct me, if I am wrong, Rose, but recollection having not read that contract in a couple of years is that it’s going to three, I mean, four years – three years of products, and last August was the first anniversary and I think it’s roughly $2.5 million as in deferred revenue and so that will be drawn through in the August time period if they don’t take the product, again, four years will take three years of product so that will be realized correct me if I wrong in the August quarter and then will bunk relatively like amounts again for product going forward.
Unidentified Company Representative : Said correctly.
Craig Irwin - Wedbush Securities: Okay. And just to clarify $2.5 million in deferred revenue is what you have to date under the contract so that will accumulate over the next couple of years of the contract or is that the total commitment?
Unidentified Company Representative : No, that was for the first year. That was for the first year, but we don’t take it to the second year, so that actually won’t drop in until, we won’t run that through if you will, Craig, until August this year, but it’s in deferred revenue right now from last August.
Craig Irwin - Wedbush Securities: Okay. Okay. It’s fine. And moving over to the biodiesel side, which I guess, is where a lot of people are really focused, right, so strong growth year-over-year, if we look at the business excluding your common carrier pipeline revenue up a 11% in a market where pricing has been negative, can you maybe help us a little bit with what you saw on price year-over-year. So we can understand roughly what happened on volumes there?
Lee E. Mikles : Chris, you’re probably best suited to handle that one.
Unidentified Company Representative : In terms of price, and I don’t have all the historical information right in front of me at the moment, Craig, but I think in terms of price, price itself actually, probably went down a little bit year-over-year. However, volumes did increase and the profitability on those gallons increased Q1 of 2013 versus Q1 of 2012.
Craig Irwin - Wedbush Securities: So, can you comment whether or not you believe your price – year-over-year, your price difference year-over-year was materially different than the average price experienced by the market. I know there’s variable pricing among the different geographies. And can you clarify that for us?
Lee E. Mikles : Sorry, I got some hazards in the phone. I’m not exactly sure how those market is being defined, so it’s kind of hard for me to make a comparison to it. I think we produced a very high-quality biodiesel. We think it’s some of the best biodiesel in the industry, if not the best. And we certainly try to maximize the sales price that we’re able to realize on that material. We think it’s a superior product, but I think based upon that, we’d like to believe that we’re able to demand a favorable price to the company.
Craig Irwin - Wedbush Securities: Excellent. Excellent. The next question I wanted to ask about was utilization. Given the gross gallons and the outlook for some pretty solid demand over the rest of this year, where do you put your utilization now and how high do you think you can bring it over the course of the year to share this strong demand we’re seeing?
Lee E. Mikles : On the biodiesel side, Craig?
Craig Irwin - Wedbush Securities: Yes, Lee.
Lee E. Mikles : Well, again, it’s been an effort of, if we go back a couple of years as we’ve talked about numerous times and fixing the front-end and improving the front-end dramatically to take these lower valued feedstocks, and we really dropped our volumes almost in half, and we continue to bring those back up to raid if you will and that has been no easy task, and we continue to try to push that if you will. But again to go past kind of our stated absolute volumes and the run rates that we’re on, we’ll probably at some point have to consider, expanding the volumes that we have, if we want to get greater production out of this particular site. And again as we’ve talked about before this is a biodiesels more or less a regional market, it’s kind of 300 miles as the way I looked at it, if you can only move this stuff about 300 miles economically. So it’s a question of how big that 300 mile circle is to what our volumes might ultimately want to be out of this one production site. And again I think the advantages for us, looking at an acquisition candidates is to take that know-how on the front end, and put that on other regional sites and improve facilities that we maybe able to acquire going forward. But again, I think it’s our sense that we need to make sure with one of our feedstocks that we can run at absolute capacity of this site, before we look at expanding at this location and additionally adding other acquisitions to further our – what I’ll call a more national reach than more we can get from the Arkansas site.
Craig Irwin - Wedbush Securities: Great. Then just a housekeeping question, common carrier pipeline revenue, I know it’s a pretty high visibility revenue stream. What’s your expectation for the rest of the year, I mean is this something where you should have similar revenue in the next few quarters or was this just a first quarter commitment?
Unidentified Company Representative: I know that’s pretty lumpy. Chris, that’s you.
Chris Schmitt: Yeah. Craig, it’s kind of hard to– we’re shipper on the (inaudible) pipeline and when, it’s an activity that it pays recurring, however it doesn’t – the revenue recognition associated with that doesn’t always lead to gross revenue being recognized. If we’re buying and selling from the same party, accounting rules just say it’s netted out in the income statement, and if we’re buying from one party, selling to another party, it appears growth. And so, it’ll be, the revenue recognition element in our financials will be dependent upon the structure of those deals going forward. So it’s difficult to predict. We continue to disclose the amount of revenue that has been on those transactions. So I think you’ll be able to see what those items are and adjust for the impact of those items in your analysis. But it’s an item that’s difficult to predict because it’s very dependent upon the structure of future transactions, which is inherently difficult for us to predict.
Craig Irwin - Wedbush Securities: Got it. Got it. The last question if I may, other competitors of yours have shared the outlook with investors for some pretty strong profitability in the second, third quarters of this year. Can you comment whether or not the profitability on the gallons you’re producing and selling today is up significantly over 1Q levels and whether or not you would generally agree with that commentary?
Lee E. Mikles: Again, to know the unknowable, again, I’m familiar with the comments that you refer to, Craig. There isn’t, I wouldn’t take exception to them. I don’t know that I would opine a complete lease just because that’s not the nature of how we run our business. But I think it’s the business, if you look at the RIN values that are out there in the market, first day, the renewal if you will, it retroactively wasn’t meaningful to us, but prospectively, I think the dollar credit obviously enhances the profitability of the industry for a period of time, and I have my own set of issues with that. But I think today that tends to be a very strong business, I think, for the industry. I think, and we’re certainly a significant and important participant in that, but I think the industry is running well at this particular juncture and for any, what I call, competitive producer at this time, there should be attractive profitability in the environment what we see currently.
Craig Irwin – Wedbush Securities: Thanks again for taking my questions and congratulations on the strong quarter.
Unidentified Company Representative: Thank you, Craig. I appreciate your interest.
Operator: Thank you. Our next question is a follow-up from Jon Tanwanteng of CJS Securities. Your line is now open.
Jonathan Tanwanteng – CJS Securities, Inc.: Hey, guys. Just one more for you if you could. You mentioned the ethanol blend wall, is there a danger of the RFS being challenged or changed and possibly biodiesel getting tossed out to backwater there?
Unidentified Company Representative: Again it’s to know the unknowable. There are a couple of attempts at that. Again, if the ethanol producers obviously are in if – it becomes a refiner issue or gee, we can’t get enough RINs to satisfy our requirement because we are up against the blend wall that’s the argument. And there have been a couple of attempts in Congress to maybe amend their RIN requirement as they can’t get enough fringe out of the ethanol side, so they have to go elsewhere to pick those RINs up. Again, you got to remember there are roughly 14 billion gallons on ethanol. So they are more or less up against a 10% blend wall, over and above just started to get corrosion issues. There’s going to push to try to go to 15% ethanol. Again, that’s not on our business, but it pretty blend over into biodiesel even though it’s a highly differentiated product obviously. I think the national biodiesel board has been very proactive and trying to educate the legislature – the legislative bodies on the difference between the two materials. You got to remember at 1.26 billion gallons, we’re roughly 2% of the overall diesel market. So, we’re significantly less than their 10% and again RINs really doesn’t apply anyway because we don’t have the corrosive blend wall issue anyway. Because most of the new engines have been made over the last five years that come into the world approve it for a B20 blend. So, it’s 20% blended biodiesel and again it’s – it doesn’t have any of the issues. But to your specific collections, could it bleed over I guess in – I guess anything could happen, but I think there’s been enough education of the legislative bodies that I think that the risk has been diminished on that side and again simply are very different issues. That would be an unfortunate outcome, but I don’t see that is highly probable.
Jonathan Tanwanteng – CJS Securities: Okay. Thanks again guys.
Operator: Thank you. And our next question comes from Jeff Osborne of Stifel. Your line is now open.
Jeffrey David Osborne – Stifel Nicolaus & Company: Great. Good morning, Lee, and congratulations on the result. So, I just had one question, I ask you to dust-off the crystal ball again. More so on the feedstock side, as the – I think DeLauro reported on the 30th of April and talked about their facility opening up to the south of you folks and discussed consuming about I think it was 11% of the country’s output of animal fats. And I just wanted to get your thoughts on what you’re expectations were for feedstock costs going into the summer?
Lee E. Mikles: So, thank you, Jeff. Thanks for the question. It’s an important issue one that – it’s not as if we haven’t known this was coming all with that site. I’ve been kind of running with a 10% number for the last year in my head. If you look at the principal feedstocks that we use, corn oil, yellow grease, choice white grease, talking about taking again 10% or 11% of that grease market certainly could have an effect. For us, it’s not an issue of finished product, because where that plant is located and it’s our understanding that that’s going to more or less go out the Gulf Coast. It’s really to your point, it’s a feedstock issue. There is sufficient amount of corn oil out there currently and that’s obviously coming from the ethanol guys basically going flat out. So it’s – that’s certainly a replacement for that. But it’s a concern. I don’t think I have a great crystal ball and I’d like Chris if he has any additional comments take a look at that. It’s something that we’ve been aware of understood that it’s coming. Again, I think this is one of the great advantages we have at our site is having the tankage to take the feedstock at what I’ll call add opportune times for the producers and be able to store that feedstock in the finished product as well. So, I think we have some significant advantages, vis-à-vis some of the other producers in the biodiesel side if, in fact, you get a tightness in that market. But again, that’s a meaningful part of the grease market being affected. The question is, are there alternatives to replace that and how much firmness does that really give to the overall market, because obviously all these feedstocks relate to one another. Any additions to that Chris?
Christopher Schmitt: I really don’t – I mean I think you hit the nail in the head. I mean this is certainly going to be another participant in the market, who is going to be competing for feedstocks and similar feedstocks that we’re presently using. So, I think there is reason to believe that it would be supportive to feedstock prices, but at the same point in time, we’ve demonstrated ability to define the feedstock. We can use a wide range of them. And we’ll be out there competing in the market for those feedstocks with the other people. I think you have to maintain all right on that.
Jonathan Tanwanteng – CJS Securities, Inc.: Thanks so much, guys. I appreciate the thoughts.
Lee E. Mikles: Thank you, Jeff.
Operator: Thank you. Our next question is a follow-up from Craig Irwin of Wedbush Securities. Your line is now open.
Craig Irwin – Wedbush Securities: Thank you. Lee, if I can just follow-up on the feedstock question, the question I get a lot from investors and I think a lot of people are confused on this. Can you maybe discuss something that I’ve been hearing? So other participants in the market have been saying that palm oil is particularly weak in price and has been for a while. And what that’s doing is displacing demand for fats that were typically being exported. Are you seeing the supply of fats in North America continue to be prolific and that impacting price, is that consistent with what you’re seeing in the market and what would you expect as far as potential changes there, how we could see this change over the next couple of quarters?
Lee E. Mikles: Well, the palm question is one that I’m not educated on. We looked at palm few years ago and bringing it in from Indonesia and you get shipping issues, you got to get to the Gulf Coast, which is not an easy task and not an expensive, not inconsequential. But again, all of these feedstocks relate to one another. So that’s probably Wesco’s phenomenon and there aren’t a lot operators out there. But it’s probably Wesco’s phenomenon more than anything else. Additional feedstocks in the market, this is always good for us, because again we’re refiners at the end of the day and whether it’s these 2.0 what I’ll call biofuels companies are out there, they’re usually on the feedstock side, whether it’s LG or whatever it might be. So I’m prolific as you talked about the grease market. Again, we are constantly like anyone else, competing for our feedstock sources. I think we’ll continue to do so. There seems to be a sufficient amount in the marketplace today. But, as Jeff asked earlier, you’ve got a significant player that is going to be eating up some in the grease market in a meaningful amount, 10% or 11%. And again, it’s whether the market kind of adjust to it, but additions whether it’s palm oil or other is always something that we welcome into the marketplace. Anything additional Chris relates to that?
Chris Schmitt: No. None for myself Lee, no.
Lee E. Mikles: Okay.
Craig Irwin – Wedbush Securities: That’s great. And then, based on the data that you look at and what you see from your own operations, can you comment about the profitability of soy based production. I guess there is industry data out there seeing actual industrywide volumes are down sort of has me assuming that that’s actually coming from the soy side given that the economics for soy oil are more attractive in other markets. Are you seeing a much in a way of soy production right now, even though that should be a profitable business line for some of your competitors?
Lee E. Mikles: Yeah. I would do. Craig, that’s a very good question by the way. That’s a critical point, because I think that – it’ll be profitable with very marginal basis for the non-integrated, I mean it’d be hard to make any real money there. For the fully integrated it looks to me as if they made about 300 million gallons last year in its attempt as I view at again just my opinion to firm up the other side of the marketplace. I don’t think, as Chris or Rose is aware that I’m not – that they’ve been in the marketplace this year. And I think the RIN prices would be telegraphing that they’re probably not going to come into the biodiesel space at this time as we view it. And again that’s simply a result of the firmness of the soy side. So our view at this juncture as we see it, when prices kind of tell the story. It looks as if those participants probably won’t be there. But outside of the fully integrated guys, Craig, it’s pretty tough to make any money for an extended period of time using soy oil in any great degree. I mean, you can, there are producers out there using it on a 15% or 20% basis, and mixing it with other things to get their refineries to run, but to use purely soy if you’re not fully integrated very tough to make any real money.
Craig Irwin – Wedbush Securities: Great. Thanks again for taking my questions.
Lee E. Mikles: Thank you.
Operator: Thank you. And at this time, I’m not showing any further questions on the phone line. I would like to turn the call back to management for any further remarks.
Lee E. Mikles: Thank you all very much for your questions. I appreciate your participation. We’ll look forward to talking to you next quarter.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program. You may all disconnect. Everyone have a great day